Operator: Welcome to the BP Presentation to the Financial Community Webcast and Conference Call. I now hand over to Jessica Mitchell, Head of Investor Relations.
Jessica Mitchell - BP Plc: Hello and welcome. This is BP's First Quarter 2017 Results Webcast and Conference Call. I'm Jess Mitchell, BP's Head of Investor Relations, and I'm here with our Chief Financial Officer, Brian Gilvary. Before we start I need to draw your attention to our cautionary statement. During today's presentation, we will make forward looking statements that refer to our estimates, plans and expectations. Actual results and outcomes could differ materially due to factors we note on this slide and in our UK and SEC filings. Please refer to our Annual Report, Stock Exchange Announcement, and SEC filings for more details. These documents are available on our website. Thank you and now over to Brian.
Brian Gilvary - BP Plc: Thank you. Good morning, everyone, and thank you for joining us. At the end of February we laid out our investment proposition for the next five years and beyond in some detail. So today I will keep things brief, focusing mainly on our results for the quarter. It has been a quarter with stronger underlying earnings and robust cash flow, reflecting the firming of the environment relative to prior periods and continued operational momentum in our businesses. As usual, I'll start with an overview of the environment for the quarter before taking you through the numbers and a reminder of our financial guidance for 2017. I'll finish up with an update on the progress in our Upstream and Downstream businesses before we take your questions. Turning to the environment, Brent crude averaged $54 per barrel in the first quarter, up from $49 per barrel in the fourth quarter of 2016, and $34 per barrel a year ago. This was despite a brief weakening of oil prices during March following a larger than expected inventory build in the United States. Mild weather conditions in the U.S. brought Henry Hub natural gas down from the high in December to average $3.30 per million British thermal units in the first quarter, compared to $3 in the fourth quarter and $2.10 a year ago. The first quarter global refining market margin averaged $11.70 per barrel, compared to $11.40 per barrel in the fourth quarter and $10.50 per barrel a year ago. Looking ahead, we expect the oil market to continue to rebalance in 2017, driven by above average global oil demand growth. The timing and extent of this rebalancing will depend on a number of factors, including most importantly, whether OPEC cuts are extended into the second half of the year and the extent to which U.S. tight oil responds to the more favorable outlook. So we expect oil prices to remain uncertain and volatile. But we continue to expect the momentum in our businesses to drive stronger operating cash flows as we move through the second half of the year, driven by our cost restructuring over the last three years and the series of new projects we have coming on line this year. Turning now to the results for the Group. BP's first quarter underlying replacement cost profit was $1.5 billion, around $1 billion higher than the same period a year ago and $1.1 billion higher than the fourth quarter of 2016. Compared to a year ago, the result reflects higher Upstream liquids and gas realizations and higher production, partly offset by higher DD&A and exploration write-offs and a lower contribution from oil supply and trading, although the performance for the quarter remains strong. Compared to the previous quarter, the result reflects higher Upstream liquids and gas realizations, a stronger contribution from supply and trading, and lower Downstream turnaround activity. First quarter underlying operating cash flow, which excludes Gulf of Mexico oil spill payments, was $4.4 billion dollars. The first quarter dividend payable in the second quarter of 2017 remains unchanged at $0.10 per ordinary share. In Upstream, the underlying first quarter replacement cost profit before interest and tax of $1.4 billion compares with a loss of $750 million a year ago and a profit of $400 million in the fourth quarter of 2016. Compared to the first quarter of 2016, the result reflects higher liquids and gas realizations and higher production, including the impact of the Abu Dhabi ADCO concession renewal, partially offset by higher DD&A and exploration write-offs. Excluding Rosneft, first quarter reported production versus a year ago was 3% higher. After adjusting for entitlement and portfolio impacts, underlying production increased by 3% due to a ramp-up of major projects. Compared to the fourth quarter, the result reflects again higher liquids and gas realizations and the impact of the Abu Dhabi concession renewal. Looking ahead, we expect second quarter 2017 reported production to be broadly flat compared to the first quarter with the continued ramp-up of major projects offset by seasonal turnaround and maintenance activities. Turning to the Downstream. The first quarter underlying replacement cost profit before interest and tax was $1.7 billion, compared with $1.8 billion a year ago and $880 million in the fourth quarter. The Fuels business reported an underlying replacement cost profit before interest and tax of $1.2 billion in the first quarter, compared with $1.3 billion in the same quarter last year and $420 million in the fourth quarter. Compared to a year ago, the result reflects improved refining margins and a higher fuels marketing performance offset by a higher level of turnaround activity and a lower contribution from supply and trading, although as already noted, the trading performance for the quarter remained strong. Compared to the fourth quarter, the result reflects a stronger supply in trading performance, a lower level of turnaround activity, and benefits from lower costs. The Lubricants business reported an underlying replacement cost profit of $390 million in the first quarter, compared with $380 million a year ago and $360 million in the fourth quarter. The Petrochemicals business reported an underlying replacement cost profit of $150 million in the first quarter, compared with $110 million a year ago and $100 million in the fourth quarter. In the second quarter, we expect improved industry refining margins to be offset by both narrower North American heavy crude oil differentials and a higher level of turnaround activity compared with the first quarter. Turning to Rosneft. Based on preliminary estimates, we have recognized $100 million as BP's share of Rosneft's underlying net income for the first quarter, compared to $66 million dollars a year ago, reflecting a higher Urals price, offset by adverse foreign exchange impacts from a stronger ruble. Our estimates of BP's share of Rosneft's production for the first quarter is 1.1 million barrels of oil equivalent per day, an increase of 11% compared with a year ago, and roughly flat compared with the previous quarter. The increase versus last year reflects the completion of the acquisition of Bashneft, commencement of the Suzun and East Messoyakha fields, and Rosneft's increased stake in the Petromonagas joint venture. Further details will be available when Rosneft report their first quarter results. On the 24 of April, the Rosneft board indicated a recommended dividend payout of 35% of IFRS earnings. At current exchange rates, this would imply a dividend payable to BP of around $200 million after tax for 2016. That is expected to be paid in the third quarter of 2017. The final decision regarding the payout will be taken at Rosneft's upcoming Annual General Meeting. In Other Business and Corporate, the pre-tax underlying replacement cost charge was $440 million for the first quarter, compared with a charge of $180 million in the same period a year ago, due to adverse foreign exchange impacts. We continue to expect the average underlying quarterly charge for the year to be around $350 million, although this may fluctuate between individual quarters. The adjusted effective tax rate in the first quarter was 33%, compared with 18% for the same period last year, mainly reflecting the Abu Dhabi concession renewal. In the current environment, we continue to expect the effective tax rate to be in the region of 40% in 2017, including the impact of the Abu Dhabi barrels. Now looking at cash flow. This slide compares our sources and uses of cash in the first quarter of 2017. Excluding pre-tax oil spill-related outgoings, underlying operating cash flow for the quarter was $4.4 billion, including a working capital build of $1.3 billion. This compared to $3 billion for the same period last year. Gulf of Mexico oil spill payments were $2.3 billion in the first quarter and included a $740 million Department of Justice settlement payment. Organic capital expenditure in the first quarter was $3.5 billion, compared to $4.5 billion a year ago. Net debt at the end of the quarter was $38.6 billion dollars, and gearing was at 28%, within our 20% to 30% target band. Now turning to a reminder of our financial frame. As outlined with our strategy update at the end of February, our framework is based firmly on a principle of disciplined growth. Having delivered on our capital and cash cost reduction targets a year ahead of plan, we completed a number of deals at the end of last year to further enhance the growth prospects in the portfolio. These deals require some additional organic capital expenditure in 2017. But we still expect our overall capital spend for this year to fall comfortably within the $15 billion to $17 billion capital frame we showed you in Baku. Looking out to 2021, we expect to be able to maintain organic capital expenditure for the Group within this $15 billion to $17 billion per annum range, while also keeping gearing within our 20% to 30% target band. At the same time, we will benefit from the startup of our extensive program of Upstream major projects over this period, with seven project startups planned this year. We expect the ramp-up of these projects to drive a material improvement in the Group's operating cash flow from the second half of the year, along with continued strong underlying performance improvement in the Downstream. Operating cash flow will also reflect the ongoing focus on continuous efficiency improvement and transformation taking place across the Group. Non-operating restructuring charges will continue into 2017, although we expect the cash flow impact to be lower than last year. Looking to inorganic sources and uses of cash. Deepwater Horizon cash payments in 2017 are expected to be in the range of $4.5 billion to $5.5 billion, with the larger part of the outflow in the first half, as we make payments on the annual settlement amounts. We expect the remaining business economic loss claims to be substantially paid this year. Total Deepwater Horizon cash payments are then estimated to fall sharply, to around $2 billion in 2018, and to step down to a little over $1 billion per annum from 2019 onwards. Divestments are also expected to be in the range of $4.5 billion to $5.5 billion for this year, with disposal proceeds weighted towards the second half. From 2018, we expect divestments to reduce to a more typical $2 billion to $3 billion per annum. Based on our new portfolio, we expect to deliver strong growth in free cash flow out to 2021, as shown on this chart. This is driven by the underlying momentum in operating cash flow in both our Upstream and Downstream, coupled with our focus on capital discipline across the Group. As noted in February, based on our current planning assumptions, this is consistent with our organic cash balance point reducing steadily to around $35 to $40 per barrel over the period with the recent portfolio additions adding even more resilience to the portfolio. Our aim is to ensure that the dividend can be sustained by the underlying cash generation of our businesses over time. As organic free cash flow grows, we expect our capacity to grow distributions to be materially enhanced. In the first instance we would love to address the dilution that arises from the undiscounted scrip dividend alternative we currently have in place. We would then aim to balance disciplined investment for even stronger growth with our objective of growing distributions to shareholders over the long-term. Now turning briefly to the highlight of the quarter from our businesses, starting with the Upstream. As we showed you in February, we expect to have more than 1 million barrels per day of new oil equivalent production by 2021 from 2016, including our recent portfolio additions, with 800,000 barrels per day being delivered from our new major projects by 2020. The portfolio under construction is ahead of schedule and around 15% under budget. The first of our seven planned 2017 start-ups, Trinidad Onshore Compression, came online in April. We expect up to four of the seven projects to be online by mid-year. We have made substantial progress on our other 2017 projects start-ups as follows. In Egypt, the West Nile Delta project is ahead of schedule, and the Taurus/Libra fields are ramping up. Quad 204 in the North Sea is in the final stages of commissioning, and we are on track for first oil this month. In Trinidad, the subsea installation and hook-up campaign for the Juniper facility is now complete. The project is progressing through commissioning activities, and start-up is expected around the middle of this year. And Khazzan Phase 1 in Oman, Persephone off the coast in Western Australia, and Zohr in Egypt also remain on track for start-up in the second half of this year. In exploration, we continue to pursue opportunities around our incumbent positions. For example, in Egypt, we made our third gas discovery in the North Damietta offshore concession in the East Nile Delta. We have also commenced the exploration program in our new region of Mauritania and Senegal, an emerging world-class basin. We will continue to make disciplined capital and portfolio choices within our extensive global hopper of resource prospects. And we'll continue to exit unattractive positions. This is an important year of delivery in the Upstream, particularly with the start-up of our suite of major projects. We've made a good start on this and have confidence in delivering the plans we laid out. You should see the impact of this become increasingly visible as we move through this year and production ramps-up. In the Downstream, we are growing our marketing businesses, delivering strong operational performance, and strengthening our competitive position. Across our marketing businesses, we continue to see year-on-year retail volume growth. And we have added more than 30 convenience partnership sites so far this year. During the quarter, we opened our first retail site in Mexico, the first international oil company branded site since deregulation of the fuel retail market in 2013. Our plans are to expand in this fast growing market around 1,500 sites over the next five years. This presents an exciting opportunity not only for BP but also for Mexican consumers. We also signed an agreement to establish a new retail joint venture in Indonesia, another key growth market for us. In Lubricants, earnings were underpinned by continued strong premium brand and growth markets performance. Building our brand strength, we recently announced two new partnerships. We have been appointed the official fuel and lubricants provider to Renault Sport Formula One. And through our Air BP business, we are now the fuel and carbon reduction partner of the Red Bull Air Race World Championship. Turning to manufacturing, operations remain strong with Solomon refining availability for the quarter standing at more than 95%. And in Petrochemicals, we continue to reposition our portfolio to focus on areas where we have leading proprietary technologies and competitive advantage. In line with this we recently announced our intention to divest our interest in the SECCO joint venture in China. While the joint venture has been a successful and profitable investment for us, we believe it has greater long term value in someone else's portfolio. The transaction is subject to regulatory approvals. Also in Petrochemicals, we completed the upgrade to our industry leading proprietary technology at our Cooper River PTA plant this quarter. This technology will reduce the facility's overall operating cost, making our business more competitive. In summary, this has been another strong quarter for Downstream. The business continues to expand earnings potential and improve its competitiveness. So to summarize. Earlier this year we laid out an investment proposition that we believe is good for all seasons and which supports our principal aim of growing sustainable free cash flow and distribution to shareholders over the long term. This will be delivered first through safe, reliable, and efficient operations focused on execution across our businesses. Second, through continuing to build a portfolio that is fit for the future, one that builds on our strong resource base and positions us to be increasingly competitive in any environment, while also ready to make disciplined choices around lower carbon at an informed pace. And third, this proposition will be delivered by maintaining strict discipline within our financial frame and staying focused on delivering returns. We believe the growth plans we set out for the next five years and beyond are well defined. Our focus over the coming years is firmly on execution of these plans. You'll start to see this through the ramp up of our seven major project start-ups in the Upstream over the course of this year and in the continued focus on reliability and efficiency in our operations. In the Downstream, you'll see evidence in continued underlying performance improvement, including the build out of strong growth options in our marketing businesses. By the end of this year you should expect to see the momentum in stronger underlying operating cash flows, which, coupled with our focus on capital discipline, will grow capacity to deliver sustainable and attractive returns to shareholders over time. So on that note thank you for listening, and I'll now open up for questions.
Operator: [Operating Instructions]
Jessica Mitchell - BP Plc: Welcome again, everybody. And we'll take a first question from Lydia Rainforth of Barclays. Are you there, Lydia?
Lydia Rainforth - Barclays Capital Securities Ltd.: Yes. Thanks, Jess, and good morning. Can I come back to the cash flow numbers and just a couple of questions on that? Brian, it was a quite big working capital build in the quarter. Can you just talk through what that is? And when you're talking about a material improvement in cash flow for the second half the year, can I just check that that is the $4.4 billion of underlying cash flow from this quarter? And if you have a definition of what material means? And then just secondly, just on the CapEx numbers. It's looking back into the range of $15 billion to $17 billion, where at the fourth quarter stage I thought you were talking $16 billion to $17 billion for this year. Is that just a – are you more comfortable about being able to possibly do it towards the lower end of the CapEx range now that you've seen the first quarter results? Thanks.
Brian Gilvary - BP Plc: Thanks, Lydia. So in terms of working capital it's across the piece. We typically have a working capital build through the first quarter, as we have the product spec changes in the Downstream. So getting the inventories turned around. Actually for this quarter it was about two-thirds Upstream, one-third Downstream is where the build was. And it was across the piece. I mean it wasn't any one specific item. But it is – we normally, typically get a build through the first quarter. And actually it's certainly within the range of historical builds that we've seen in the first quarter. So it's not a big, big move. In terms of material cash flows, yes, it is in terms of the operating cash. It gets driven off the back of the seven major projects coming on stream this year. And so the way in which the year was always set up was that the operating cash flow would grow through the first, second, third, fourth quarter with the major piece coming through in the fourth quarter. And that's why by the time we get to the end of the year, you see our breakeven economics come down quite significantly. By material you should assume that number means bigger than $1 billion delta versus where we are in the first quarter by the time we get to the end of the year. It will probably be significantly above that. But we'll see how the year pans out and how the projects come on stream. But so far in terms of where we are with the projects, they're on track below budget. We have one onstream; three more to come on middle of the year. So I think the operating cash flow for this year is being majorly de-risked as those projects have come on and are in the process of ramping up. In terms of the capital guidance you have in here, actually we talked about $15 billion to $17 billion at the end of February was the first time that we sort of flagged that up. Really to say that actually having absorbed all of the new projects and acquisitions that we did at the end of last year, by the time we got to the end of February and came out with the investor presentation, I think you'll actually find that we did talk $15 billion to $17 billion there. We didn't major on it, but it's actually in there. So it's no change versus that. And as we continue to optimize the capital within the portfolio, we continue to see further reductions and capacity within the capital frame that actually we're comfortable to say we can absorb all of the acquisitions from last year and still manage the capital frame this year in the range of $15 billion to $17 billion.
Lydia Rainforth - Barclays Capital Securities Ltd.: That's great. Thanks very much.
Brian Gilvary - BP Plc: Thanks, Lydia.
Jessica Mitchell - BP Plc: Thank you. Next question now from Thomas Adolff of Credit Suisse.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: Morning, Brian, Jessica. Got three questions please, one on CapEx, one on LNG, and one on new ventures. Firstly on CapEx, if I look at some industry cost indices, let's take the IHS Upstream Capital Costs index, we've kind of come down to around 2006 levels. And I'm wondering what is stopping the industry as well as BP to get to the cost levels closer to say 2001 or 1997. I understand reservoir, so a bit more complex, but technologies have also improved. Secondly, on LNG your ambition is to get to 25 million tonnes per annum. Today you are at around 12 million tonnes per annum. And you've done some third-party gas fields in Mozambique as well as Freeport as well a farm into Senegal and Mauritania. And I'm wondering based on the portfolio you have today, can we get to this 25 million tonne per annum? Or do you – are you looking for further third-party gas contracts? And finally, on new ventures, some of your peers, looking to gain a bigger position in Brazil. Some already have. And I wondered what your longer term ambitions are vis-à-vis Brazil? Are you interested in doing some bolt-ons? Or are you interested to get more via licensing rounds? Thank you.
Brian Gilvary - BP Plc: Thanks, Thomas. And that's quite a diverse set of questions. On capital, 2001, 2002, is an awful long time ago. So I think it's not helpful given where the industry is today, the nature of the portfolios that we now have today, and actually what's happened to the economics over the last 17 years, over that decade, to try and compare costs back to those sort of levels. As you've had natural inflation come through the economies around the globe. So in terms of specifics of trying to rebasings back to 2001, 2002, I don't think that's particularly helpful as a sort of a measure or benchmark. But if you look at recent history over the last four years to eight years, I think we're now getting back down to the sort of levels of costs and capital efficiency that we would've seen before we started to see the oil prices rise through that sort of early part of 2009 and onwards up to 2014. In terms of the LNG portfolio, we continue to access supply contracts across the globe. We still have the intent to get to 25 million tonnes per annum by growing both equity and merchant LNG. You've already highlighted that we have some new LNG barrels that have come into the portfolio with some of the acquisitions from last year. But I think that goal still remains a realistic goal for us going forward. And we'll continue to see third-party supply contracts come in. Then moving to Brazil. Brazil, we entered back in 2009 with the Devon acquisition. That has yet to prove successful, in terms of what we've found there. But we did acquire licenses at the equatorial margin three years or four years after that. Today, we currently have 21 blocks in Brazil, of which four are BP operated. Six of those blocks were acquired through the Devon acquisition back in 2011. And then we also farmed into Petrobras' equatorial position. We have eight blocks of access through the ANP round in 2013. And we also acquired five blocks in 2013 through the Petrobras Potiguar basin. I think what that says is, we have a number of significant positions in Brazil, but we've still yet to unlock the potential of Brazil going forward.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: Okay. Thank you.
Brian Gilvary - BP Plc: Thanks, Thomas.
Jessica Mitchell - BP Plc: Thank you. Next question now from Rob West of Redburn.
Rob West - Redburn (Europe) Ltd.: Very much, Brian and Jess. I've got two, please. One is on the change of production reporting, and the way you're treating the technical service contracts in Iraq. I was hoping you could just talk me through what specifically you've changed, and the rationale for that? I meant to check this before the call, but apologies, I haven't yet. Does that mean all of 2016 and 2015 volumes should be restated as well? And then secondly, on your exploration slide, one thing I noticed is not on there is the UK North Sea. And I think there are a couple of prospects drilling later in the year which could be quite large, potentially. I think Jokstoff and Krasta (30:22) are two of them. Could you talk a bit about those prospects, and where they fit within your exploration plans this year? And just give a bit of color around those, please? Thank you.
Brian Gilvary - BP Plc: Thanks, Rob. On the first one, it's really just a technical change we've made which effectively affects all price movements and lifting imbalances. It's a very small adjustment. And it was made in the first quarter. But it doesn't have any impact on financial results. I think it will have some marginal changes to volumes, but that's pretty much it. And then in terms of the UK North Sea, we did – we have actually been awarded 25 blocks in the North Sea on the 29th offshore license round and they're around Magnus basin, all of which will be BP operated, there's five blocks there. On the East Shetland platform, we have 17 blocks across five licenses, which are all Statoil operated. And then on Schiehallion North, we've got three blocks, which will be Shell operated. But I think the key here is, I think it's a good time for the UK North Sea. We have major projects coming on stream, significant investments going into the UK. And I think things bode well for the North Sea going forward, especially as oil prices have firmed around $50 to $55 a barrel.
Rob West - Redburn (Europe) Ltd.: Okay. Thank you.
Jessica Mitchell - BP Plc: Thank you, Rob. And thanks for sticking to the two question etiquette. We have a long list of callers here. And we'll turn next to Christyan Malek of JPMorgan.
Christyan F. Malek - JPMorgan Securities Plc: Thanks for taking my questions. Two questions. First, can you provide more details on how you've derisked your startups this year? And what are the key risks that could not necessarily delay the projects, but result in a lower than expected production ramp up? I understand it's critical to the operating cash flow, the meaningful move higher that you talk about. So I just want to understand how you've qualified that risk? The second question is around CapEx guidance of $15 billion to $17 billion. What are the things that have to happen to tighten that range over the next six months to nine months? You've essentially surprised to the downside of $15 billion. I'm wondering, what are the things that we need to look for, positive and negative surprises around that guidance? Thank you.
Brian Gilvary - BP Plc: Okay, Christyan. I think, if Bernard Looney sat next to me, he would tell you – and he's been saying this now for three years or four years, as has the organization. And the transformation we went through in terms of the Upstream organization over the last four years to five years. Around all of these projects, I think front-end loading is probably one of the sort of key aspects that's been laid in place, that has de-risked a number of these projects, which is why they're now tracking significantly below budget, at 15% below original budgets and on track or ahead of time. And I think it's all the work that's gone into that organization and the way in which that was restructured, in terms of how we thought about the organization over the last four years to five years. But I think the front end loading that's gone into the planning phase of this. And then I think also, there is also a rhythm and sync, in that an organization which has projects coming on every six months or nine months gets into a rhythm, rather than a organization where you have a project coming on every one year or two years or three years, and you have to sort of relearn things. But I think it's about front end loading. It's about learning from all of the things that we've done before in terms of project execution. And it's actually at the core of everything, it's about safe and reliable operations, because that's what drives the operating efficiency once you bring these projects on stream. What we're seeing differently today than we might have seen 10 years ago was that, now when the projects come on stream, we do ramp them up. They do operate. And we don't find ourselves having to go back and retro fix things that we may have had to do about 10 years ago. So I think that organization has come through a very strong learning phase. And that's why I think you've seen the reliability around how these projects come on-stream today. At least I think that's what Bernard would say. And then on the capital frame, $15 billion to $17 billion is a good number for this year. We've set the plans up at round about the middle of that point. As we bring in some of the projects that we acquired last year, that will require some capital. Equally, we get more efficient in our deployment, as we've said, that the budgets running (34:30) 15% lower on some of these projects for this year. But it – we will comfortably live within the $15 billion to $17 billion range this year. And I wouldn't expect to surprise you to the upside or downside.
Christyan F. Malek - JPMorgan Securities Plc: And just to be clear, that's moving from $16 billion to $15 billion, would that be predominantly sort of deflation and efficiency gains?
Brian Gilvary - BP Plc: It could. I mean in the overall days, Christyan, in terms of running the company, it could be project acceleration slippage, it could be moving capital around across projects, it will be further deflation potentially coming through in terms of the numbers. But we manage within that bound. And actually within a $2 billion frame, $15 billion to $17 billion. I think that gives us lots of capacity to be able to manage it.
Christyan F. Malek - JPMorgan Securities Plc: Thank you very much.
Jessica Mitchell - BP Plc: Thank you. Turning now to Irene Himona of SocGen. Hello, Irene, are you there? Okay I'm not picking up Irene.
Irene Himona - Société Générale SA (UK): Hello?
Jessica Mitchell - BP Plc: Hello?
Irene Himona - Société Générale SA (UK): Can you hear me?
Jessica Mitchell - BP Plc: Yes, we can hear you now. Go ahead.
Irene Himona - Société Générale SA (UK): I'm sorry. Good morning. I had two questions please. Firstly, one of clarification. In the first quarter you paid $2.3 billion on the Gulf of Mexico. Can you say if that was the same amount pre- and post-tax? In other words did it – did the payment attract any tax this quarter? And then secondly, if you can give us some guidance or remind of what your announced acquisition spend is going to be this year, please? Thank you.
Brian Gilvary - BP Plc: Thanks, Irene. In terms of Gulf of Mexico, I would guess the charge associated with these has already been taken. In that they relate to – with the exception of business economic loss claims, although the provision was put in place in the middle of last year. So that's probably been taken as well. I would guess most of the tax charge associated with that $2.3 billion has been taken already in previous quarters, because there are no new items that have come through. And so I would not anticipate that that would have had any effect this quarter. But we'll come back on that point, Irene, but I'm fairly confident that's the case. And then in terms of acquisition spend for this year, from memory the acquisitions that we had last year totaled around for this year something close to $500 million to $700 million is the capital that will go out this year. And again, Irene, we can come back on the specifics of that. But it's relatively modest amount of CapEx go out this year in terms of those inorganics.
Irene Himona - Société Générale SA (UK): Great. Thank you very much.
Jessica Mitchell - BP Plc: Thanks, Irene. Next question from Jason Gammel of Jefferies.
Jason Gammel - Jefferies International Ltd.: Sure. I had two questions on the Downstream if I could, please. The first, BP is making a pretty concerted effort to build out its retail marketing business. Brian, I was hoping you could talk about the level of capital that is required to actually build out that business? And the level – how we should think about the returns that that capital would attract? And then the second question is related to Petrochemical business, just specific to the divestiture that was made during the quarter. I generally think of Petrochemicals as being relatively high growth, China being a relatively high-growth market. So can you maybe address the thought process behind the decision to divest that business?
Brian Gilvary - BP Plc: Thanks. Thank you. So in terms of the capital frame for Downstream, we run it within a range – and we can go quite low below this range. But typically around $2.5 billion to $3 billion per annum is the sort of capital range that we're looking at at the moment. We can go lower than that if we had to, if we found ourselves in a situation where oil prices were low. But that's a good range going forward. A chunk of that capital is allocated towards what we call license-to-operate or remediation maintenance and so on capital in terms of the refining business. And then there's a balance of commercial projects that we look at. And then the rest of the capital, really anywhere from $800 million to $1 billion, will go in terms of retail and retail marketing. Say something around about $800 million per annum. And that allows us to invest in a series of growth options for us in terms of the Downstream, particularly around the convenience partnerships that we now have operating across with Woolworths next year, six countries, which have been incredibly successful for us. And we're expecting another 1,000 new stores across our German network out to 2021. Another 100 new M&S stores. So I think what Tufan [Erginbilgic] and the team have demonstrated is a very efficient growth investment model for us in the retail fuels business linked with convenience. And this quarter, we've seen volumes grow by something like over 2% in terms of our retail fuels. On Chemicals [Petrochemicals], we did announce the sale of SECCO. And that would have accounted for something like $300 million of contribution from Chemicals last year. So what we have in balance now left in terms of our Chemical business is a business where we're targeting double-digit returns over the next couple of years with demand growth about 4% to 6% per annum. And having had a series of leading proprietary technologies across PTA, PX, and acetic acid. So I think the core of the business that's left in terms of Chemicals has growth prospects of 4% to 6% going forward. We do have the leading proprietary technologies. And we are targeting double-digit returns over the next couple of years.
Jessica Mitchell - BP Plc: Right. Thanks.
Jason Gammel - Jefferies International Ltd.: Any comment on the returns of the marketing business front, return on capital employed?
Brian Gilvary - BP Plc: Double digits. In fact actually if I think about the amount of capital we have in refining, the pre-tax returns of the fuels that we – what we would call the retail marketing business is probably in excess of 15%.
Jason Gammel - Jefferies International Ltd.: Thanks.
Brian Gilvary - BP Plc: It's a very attractive business inside the portfolio.
Jessica Mitchell - BP Plc: Thanks, Jason. Next question from Theepan Jothilingam of Exane.
Theepan Jothilingam - Exane Ltd.: Yeah. Hi, Brian. Morning, Jess. One question just on gearing. Brian. I think you've highlighted the target of 20% to 30%. And it appears the profile for the group sort of rises in H1 before potentially falling back a bit in H2. But could you just talk about theoretically if gearing does move to the top end of that range or actually beyond that, is there any material impact in terms of the way the group can operate? Any impact on rating or other stakeholders? Thank you.
Brian Gilvary - BP Plc: Thanks, Theepan. Actually and the measure we really look at with rating agencies, more about the amount of cash we generate and over the extended debt, which is the sort of salient measure that we look at across a suite of measures. So gearing per se, if it were to track above 30%, that wouldn't cause any concerns in terms of the financial frame. Provided we've got the long-term destination point, which we've laid out for you at the end of February in terms of the significant sustainable free cash flow growth we've got. You've already flagged up the issue this year was always set up as the $4.5 billion to $5.5 billion of Deepwater Horizon payments, the majority of those would go out in the first half of the year. The disposal proceeds that would cover the cost of those arrive in the second half of the year. So net debt and gearing will track up through the first and second quarter and then drop back down for third and fourth quarter. And of course the disposal proceeds have been significantly derisked in terms of that cash coming in with the announcement of SECCO last week. And we now have over $2 billion of announced divestments with the anticipation that cash will come in as those transactions close this year. So even if gearing were to track up to 30% or even over 30%, that's not a bust in terms of financial frame, as the gearing is simply a – it's a framework, it's a guidance that we operate to. The day – we'd really be looking out two years or three years to look at where that's likely to track. And as you look at the free cash flows that we talked about at the end of February, you will see that will naturally decline and come back down towards the bottom end of that range, as we see those cash flows come in off the back of the new projects. So net debt and gearing is not an issue for the man (43:09).
Theepan Jothilingam - Exane Ltd.: Okay. And then just a point of clarity on the $1 billion you talked about for Q4 versus Q1 underlying. Is on is that on the $4.4 billion with the working capital, without the working cap?
Brian Gilvary - BP Plc: Yeah, Theepan, just to be clear, hopefully what I said was the number that we use as material – Lydia's question was, how do you define material – $1 billion is what we would call material. 4Q versus 1Q, I would expect to be certainly above that number on a flat oil price basis. But it will be material – the question she asked was, well, how do you define the second half of the year being material versus the first half? And just simply $1 billion is what we use as a materiality threshold. But in terms of operating cash, it will be significantly above the $1 billion by the time you get to the end of the year.
Theepan Jothilingam - Exane Ltd.: Yeah. But is that the $4.4 billion?
Brian Gilvary - BP Plc: Correct, versus op – that $4.4 billion operating cash, yes. But actually, Theepan, it's sort of – it's logical if you think about the projects coming on stream...
Theepan Jothilingam - Exane Ltd.: Yeah.
Brian Gilvary - BP Plc: ...and ramping up in the second half of the year that the operating cash flow will be heavily weighted towards the second half of the year versus the first half.
Theepan Jothilingam - Exane Ltd.: Okay. Thank you.
Jessica Mitchell - BP Plc: Thank you. Moving now to Jon Rigby of UBS. Go ahead, Jon.
Jon Rigby - UBS Ltd.: Thanks, Jess. Hi, Brian. Two sort of bigger questions I'm afraid. The first is just to go back on the Macondo outflows. I think it's right that the pre- and post-tax numbers are the same in terms of cash. And so with sort of a big tax receivable that's being built up, I'm just trying to understand when you start to be able to recoup that? Is it reliant on the U.S. business, Upstream business returning to profit? And I know it actually did this quarter. But is that the main driver of recouping tax? Or can you go back and access historic profits? That's my first question. The second, when you made the announcement on SECCO, it struck me or it surprised me just how big a component part of your Petrochemicals business profitability SECCO was. Are you able to give me some kind of indication of its contribution to the first quarter Chemicals number, which is obviously an improvement of the historic levels we've seen? Thanks.
Brian Gilvary - BP Plc: I'll come back to that second one, Jon. We wouldn't normally give you a specific asset contribution for the first quarter. On Chemicals, what I would say is that the – so first of all, the price that was announced last week was based on a very high earnings number. So it was the sort of top of the cycle. If you look at it on a through cycle basis, the actual multiple we got was closer – was actually probably above seven times in terms of multiples. The number that was out there for last year of $400 million was a post-tax number, which is equity accounts. And therefore, through the results we saw last year you'd actually need to take $100 million off that. So the actual number would be $300 million post-tax, which is what we properly reported last year in the Downstream segment for SECCO. So there was underlying profit from the rest of the Chemicals segment. We wouldn't normally give you the SECCO number for the first quarter. I'd just reiterate what I said earlier about the prospects of the remaining assets within the Chemicals portfolio with 4% to 6% growth prospects. The proprietary technology that we have in place around PTA, PX and acetic acid, and the target to get that to double digit returns over the next couple of years. On the tax, on the recouping of tax, we have been recouping tax in terms of the credit that we built up from 2010 to date. And we are recuperating that tax today. I think if I went back and looked at the forward profile in terms of Macondo, I think we'll end up being back in a tax paying position in the U.S. over the next one year to two years.
Jon Rigby - UBS Ltd.: Okay. Thanks.
Jessica Mitchell - BP Plc: Thanks, Jon. We'll take a question now from Alastair Syme of Citi.
Alastair R. Syme - Citigroup Global Markets Ltd.: Thanks, Jess. Hi, Brian. Can I just ask on – just one question on you're driving down the cash balancing point to the $35 to $40 [per barrel] by 2021. And I know you're not the only ones in the industry reducing costs aggressively. And then I look back at the Annual Report, you're still using $75 real from 2021 for your fair value analysis, so almost twice that balancing point. Can you just help square the circle on those two numbers, how you think about that?
Brian Gilvary - BP Plc: Yeah, the cash – so actually the numbers we laid out for you in terms of the $35 to $40 was at $55 a barrel real going forward. That was for basically laying out the growth prospects of the company of what effectively is today's prices, if you sort of look at where we're averaging the moment. At least back in at end of February that's where we were. So that's why we laid out the targets in the way that we did. And a lot of that is not so much driven by cost, it's driven by revenues in terms of the new projects coming on stream, the underlying performance improvement that Tufan talked about in terms of Downstream, growing those retail markets, actually with some growth in Chemicals as well, over the piece. So it was really more revenue growth driven. It was a very growth driven strategy. Maintaining costs where they are today and getting more efficient in our use of costs on a unitary basis as we bring on new costs and new projects. So, that was the sort of background to that. In terms of the impairment test, we use our – we use a number of prices that we look at. $75 a barrel is a long-run number out to 2021 and beyond that we use for projects. But we also run those projects at $50 a barrel. So today we have a $50 a barrel case and a $75 a barrel case. And the $75 is simply consistent with what we've used beyond 2021 for impairment testing.
Alastair R. Syme - Citigroup Global Markets Ltd.: That – the $75 is still the long term planning assumption of the company. Is that right? Is that...
Brian Gilvary - BP Plc: It is one of the long – it is the long term planning assumption beyond 2021. That gets reviewed every year. And then all of our projects that we currently commission in FID at the moment are tested down at $50 a barrel.
Alastair R. Syme - Citigroup Global Markets Ltd.: Great. Thank you very much, Brian.
Brian Gilvary - BP Plc: Thanks, Alastair.
Jessica Mitchell - BP Plc: Okay. Moving now to Martijn Rats of Morgan Stanley.
Martijn P. Rats - Morgan Stanley & Co. International Plc: I have no further questions. All my questions have been answered. Thanks very much.
Jessica Mitchell - BP Plc: That's good to hear, Martijn. Thank you. We'll then go to Anish Kapadia of TPH.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Hi. Yeah, a couple of questions, please. First of all, talk about reducing your discount rate for impairment testing. I think that's gone to 6% now, from 8% a few years ago. And how does that factor into your required rate of return when you're thinking about sanctioned projects and acquisitions? So that's the first question. The second one is on looking at your cash flow versus earnings. If I look back at 2016, according to the Annual Report, I think last year you exceeded your operating cash flow target by 5%. But you missed your earnings target for last year by 10%. So I was wondering if you could explain that difference in terms of 2017? Talk about the impacts that we should expect in terms of cash tax versus P&L tax? And any kind of other cash impacts, such as provisions and pensions on the cash flow. Thank you.
Brian Gilvary - BP Plc: So the simple answer, which in terms of operating cash versus earnings, would have been DD&A and exploration write-offs. If you actually go and look at what happened through the year, I suspect the DD&A was running slightly higher. And we certainly have had higher exploration write-offs than we would've anticipated. And of course both of those are non-cash items. So that would normally be the source of what the difference is between the two. In terms of discount rates, actually it went from 7% pre-Macondo to 8% for a period of time. And then was reassessed down at 6%. In terms of long term investments, we still expect to be in the sort of double digit teens in terms of IRRs of projects we expect. In some cases at the very high end. And it's all a nature of whether the project is a – the nature of what that project is, whether it be long term and strategic, or say, an infill development round an existing field or the sort of retail marketing investments that we were talking about before, which would be at the high end of the returns. There may be some lower end teen ones that we'd look at, but that would really – from a portfolio effect, we're looking for a portfolio of options, from a risk perspective, that give us a range of outcomes in terms of IRRs. The ultimate measure will be actually, which you'll also see in the annual reporting accounts, the rating (52:04) has reappeared as a long term metric, which is really about how we now rebuild the company having come through this period of high oil prices, the correction down to low oil prices, and now how we work that capital going forward. And it all comes back to this $15 billion to $17 billion frame, getting more efficient in our use of capital, and driving returns. But making sure that we might make the right choices as to how we do that.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Thanks. And anything on the cash impacts to 2017 that we should bear in mind?
Brian Gilvary - BP Plc: What sort of cash – I'm sorry, Anish. What sort of cash impacts were you thinking for 2017? Oh, versus 2016.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Yeah, well – so, well, the main things I was thinking was in terms of the cash flow. Anything significant in terms of cash tax versus P&L tax, and then provisions, pensions, and anything on those, to kind of bear in mind this year?
Brian Gilvary - BP Plc: No, not from a cash perspective. I think all the guidance we gave you at the start of the year is probably still good in terms of those requirements. Things can still move around around tax legislation, but cash tax rate is still running relatively about 8 percentage points below where the effective underlying tax rate is. But you'll start – you'll continue to see that effect going forward.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Great. Thanks.
Jessica Mitchell - BP Plc: Thank you. Turning now to Biraj Borkhataria of RBC.
Biraj Borkhataria - RBC Europe Ltd.: Hi. Thanks for taking my questions. A couple on the U.S. onshore business. Could you just talk about your activity levels at the moment? And what your plans are for the course of this year? It looks like your capital budget continues to trend lower, which is positive. At the same time, your production costs appear to have stabilized over the last few quarters. So I was wondering if you're seeing any signs of cost inflation in the U.S. onshore business? And then secondly, just a quick clarification on Zohr, the acquisition. Is that effectively paid now? I know there was an element of reimbursing past CapEx. Is that phased through the year? Or is that all done in Q1? Thanks.
Brian Gilvary - BP Plc: Thanks. In terms of U.S. onshore, we today have – I think we're now back up to about 12 rigs in the first quarter of 2017, versus 5 in the fourth quarter. You'll see that ramp-up as the team experiments within each of the basins. But we're now running 12 rigs. Cash breakeven on a full free cash basis has now come down almost half from the full year 2015 to where we are in the first quarter of 2017, down around $2.60 or that sort of level, in terms of cash breakeven. Not seeing any inflation at this point in terms of the Lower 48, although you can see, in terms of the Lower 48, last time I looked, I think the total rigs back in action were about 660, 670 versus the peak of about 1,680 I think. So we're still way, way off where the peak was. But there's certainly more activity coming through. But we're not seeing a huge amount in the way of inflation. We'll continue to reduce operating costs and improve on our capital efficiency. And 2017 is really a development program that pivots on the focus on robust projects and growth, and trying to take out any underperformance that we see in the activities. And we'll continue to target the resource base to make sure that it's economic below $3 Henry Hub on an earnings basis. And as I say on a cash basis it's below that. So, Biraj, that was the U.S. onshore. Was there – what was the second question?
Biraj Borkhataria - RBC Europe Ltd.: Second question was on Zohr. Has that effectively been paid for now as of Q1? Or is there some reimbursement of past CapEx to come through later?
Brian Gilvary - BP Plc: No, the CapEx has been taken care of. But we don't talk about the actual cash that we've outlaid for Zohr in terms of the commerciality deals that we actually agreed with Eni. So we wouldn't normally give you any specifics on that.
Biraj Borkhataria - RBC Europe Ltd.: Okay. Thank you.
Jessica Mitchell - BP Plc: Thanks, Biraj. Now to Chris Kuplent of Bank of America. Go ahead, Chris.
Christopher Kuplent - Bank of America Merrill Lynch: Hello. Thanks for taking my questions. Just two quick ones, follow-up I think to what Irene asked about 2017, Brian. What kind of inorganic CapEx have you already got visibility on for 2018 with Woolworths and some follow-ups I guess with looking at $1.5 billion? Would that be a decent number? And on Q1 just a quick catch-up. If you look at Rosneft and the other segments, would it be fair to say that FX has contributed to about $200 million there or thereabouts in terms of well, extra costs? Thank you.
Brian Gilvary - BP Plc: Yeah, it's not so much extra costs, Chris, as it's just simply a ForEx transaction effect. And it is just over $200 million, so you're right.
Christopher Kuplent - Bank of America Merrill Lynch: Sure.
Brian Gilvary - BP Plc: That's the right sort of order of magnitude across the two pieces. In terms of inorganics, no, the inorganics are mostly done. The only thing that's left to come through is really Woolworths next year, which we will self-fund with our disposal activity that we have set up for next year. Remember, we said disposals around $2 billion to $3 billion per annum. Next year, Macondo payments are closer to $2 billion and then ramping down to $1 billion. So we will manage the Woolworths acquisition through self-funding within the company in terms of the other potential disposals that we have slated. So that won't see a bump in terms of a draw on cash for 2018.
Christopher Kuplent - Bank of America Merrill Lynch: Okay, so the $1.3 billion Woolworths is not included in your $15 billion to $17 billion, yeah?
Brian Gilvary - BP Plc: Correct, that will be inorganic capital...
Christopher Kuplent - Bank of America Merrill Lynch: Yeah.
Brian Gilvary - BP Plc: ...that will be funded through disposals.
Christopher Kuplent - Bank of America Merrill Lynch: That's all. Thank you.
Jessica Mitchell - BP Plc: Thanks, Chris. Now to Brendan Warn of BMO.
Brendan Warn - BMO Capital Markets Ltd.: Yeah. Thank you. Thanks for taking the question. And just so I guess to follow-up on CapEx and your comments you made on your expectations of rebalancing it before the end of this year. And I guess that was caveated by obviously an extension of the OPEC cut. Can you just talk about that call it the floor on your organic CapEx expenditure range from 2018 just call it how low could your $15 billion go before you actually start cutting into the bone? And then also on the flip side, I think I remember you referred to $17 billion being a hard ceiling. Could there be any pressures on that in the next couple of years?
Brian Gilvary - BP Plc: Yeah, Brendan, you've – actually I think you've answered your own question. $17 billion is a hard ceiling, $15 billion is not a floor. If we saw a period where oil – you have to remember – so in terms of oil price we have a number of factors. OPEC, rolling its cut is one factor. Demand is another. And by the time we get out to 2018, if you see growth this year in demand of about 1.4 million barrels a day, something similar or even less next year, things will naturally start to come back into balance. But in the event that they didn't for whatever reasons, that oil price remained under pressure, it's back below $50, say down at $45, $40, then we can certainly take the capital lower. And then we'll get the...
Brendan Warn - BMO Capital Markets Ltd.: What sort of level, Brian?
Brian Gilvary - BP Plc: Well, we wouldn't – we're not going to give you a level, Brendan, in terms of what that number looks like. But we can could take another $1 billion out if we had to at though – in that scenario. But all options are open to us at that point in terms of flexibility within the financial frame and what else we need to look at. But I think it's an unlikely scenario from where we are today. As you see demand grow, we expect crude stocks to come back into line. Actually crude stocks will probably still be at the top end of their historic range by the end of this year. So I think something around $50, $55 a barrel seems a reasonable assumption on a point forward basis. If it drops below $50, we have further flexibility in terms of how we manage that.
Brendan Warn - BMO Capital Markets Ltd.: Okay. Thanks, Brian.
Jessica Mitchell - BP Plc: Thanks, Brendan. And now we'll take our last question from Lucas Herrmann. And if you make it quick and easy, Lucas, we might get this call done in an hour.
Lucas Oliver Herrmann - Deutsche Bank AG: Jess, thanks for the prompt. I'll try. Brian, Macondo, just update in – the question on Macondo is very simply, where are we in terms of outstanding claims? Guidance of $4.5 billion to $5.5 billion for the year after $2.3 billion in the first is pretty encouraging in terms of the decline one's going to see. And second quick question, how much CapEx – or sorry, how much CapEm is there in the Chemicals business post the sale of SECCO, broadly? $3 billion, $3.5 billion?
Brian Gilvary - BP Plc: Capital employed?
Lucas Oliver Herrmann - Deutsche Bank AG: Yeah.
Brian Gilvary - BP Plc: I'll come back to that, because it's not something I've looked at recently. Claims, we're down to about – in terms of business economic loss claims, which is the sort of thing that was moving around most.
Lucas Oliver Herrmann - Deutsche Bank AG: Yeah.
Brian Gilvary - BP Plc: Of the 149,000, we're down to about 4,000, of which 3,000 are recycled claims that at one point have been rejected and have come back into the system through the process that's allowed. So I think we're down to less than 1,000 claims now in terms of closing that process out going forward – in terms of less than 1,000 claims that we haven't yet had line of sight of. So I think we're now finally into the tail around business economic loss claims. And in terms of Macondo – and therefore being able to quantify and price up what that looks like on a quarterly basis, we're much closer to now. In terms of the capital that's left inside Chemicals, I'm guessing it's got to be somewhere around $3 billion. But I honestly – and, Lucas, firstly I'm surprised you're the last question. You were never going to make that 30 seconds that Jess gave you to get that question in. But we'll have to come back to you on what's left in Chemicals, but I'm guessing something around $3 billion.
Lucas Oliver Herrmann - Deutsche Bank AG: All right. In the interest of time, thank you very much.
Brian Gilvary - BP Plc: Thanks, Lucas.
Jessica Mitchell - BP Plc: Thanks, Lucas. And thank you, everybody.
Brian Gilvary - BP Plc: Great. So just to conclude, thanks for your time. Appreciate that you've taken that surprisingly an hour to finish a call. It's probably a record for us. Just to reiterate, I think this has been a good quarter, robust earnings and cash flow. We continue to see strong operating performance in both Upstream and Downstream. And that's a real key for us in terms of going forward. The projects are on track and below budget. And we're seeing Downstream marketing growth come through this quarter. But just to put all of this in context, it is simply one quarter in the 20 quarters the we laid out for you back at the end of February. But nevertheless, a very good, strong start. And the company will of course continue to focus on safe, reliable operations, because that will actually help drive growth over the next five years. So with that thank you very much for your time.